Operator: Ladies and gentlemen, thank you for standing by. Welcome to the TopBuild Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session [Operator Instructions]. As a reminder, this conference is being recorded Tuesday, August 8, 2017. I will now like to turn the conference over to Tabitha Zane. Please go ahead, ma'am.
Tabitha Zane: Thank you, and good morning. On the call today are Jerry Volas, Chief Executive Officer; Robert Buck, President and Chief Operating Officer; and John Peterson, Chief Financial Officer. Please note we have posted senior management's formal remarks on the Investor Relations section of our website at topbuild.com. As shown on slide 2 of today's presentation, many of our remarks will include forward-looking statements concerning the company's operations and financial conditions. These forward-looking statements include known and unknown risks, including those set forth in this morning's press release as well as in the company's filings with the SEC. The company assumes no obligations to update or supplement forward-looking statements that become untrue because of subsequent events. In addition, we will also discuss non-GAAP financial measures, which can be reconciled to the most comparable GAAP measures in a table included in today's press release. I will now turn the call over to Jerry Volas.
Jerry Volas: Thanks, Tabitha, and welcome everybody. We appreciate you joining us today. We are very pleased to report another quarter of strong financial results. Starting on slide 3. Revenue grew 9.9%, our adjusted operating margin expanded 250 basis points to 8.9%, and adjusted EPS increased 56% to $0.67 per share. Our incremental EBITDA margin, which is a key metric for us was 36.5% for the quarter. John Peterson will follow me with a detailed discussion on the variety of factors driving these excellent results. Moving to the next slide. Since the spin-off 2 years ago, we have emphasized in our external communications the overall strategy and internal initiatives that provide the compass for all of our activities. Staying on course with these initiatives and remaining laser focused on execution has provided our team with a blueprint for action that has resulted in the strong results we have been reporting. Our number 1 initiative is growing our core residential insulation business both organically and through acquisitions. The scale of our national footprint provides advantages in terms of supplier relationships, best practice sharing and general fixed cost leverage. A second, and equally important initiative is converting that top line to the bottom line with constant attention towards improving operational efficiency, throughout our company. This focus has resulted in significantly greater labor productivity, streamlined back office operations, a more optimized footprint and improved process and procedures. A third initiative is expansion of our commercial business, a $4.8 billion market and a very attractive adjacency to our core residential business. We have been active in this arena for many years, but are now focusing on the substantial share gains possible in this large and very fragmented market. Our commercial business is approximately 20% of our total revenue today. A fourth initiative and one that will add to the overall momentum of our business is the strategic acquisition of Partners, both residential and commercial that meet our criteria. Given our industry-leading scale, the cost synergies we're able to achieve are significant. We believe this is a wise use of capital for our shareholders. Since August of last year, we have completed 7 acquisitions, which are expected to add $88 million of incremental annual revenue. While we believe funding organic growth and acquisitions is the best use of our capital, we're committed to returning capital not required for these activities to our shareholders. Since March 2016, we've returned $168 million in value to our shareholders through 2 share repurchase programs. Our unique operating model combining both Installation and Distribution is a critical component of our success. As you can see on Slide 5, through TruTeam, the largest insulation installer in the U.S., we purchase materials directly from manufactures and sell directly to the builder community. Through Service Partners, the largest installation distributor in the country, we again buy our materials directly from manufacturers, but sell to a variety of customers, most notably small contractors who then service the builder community. So the combination of TruTeam and Service Partners enables us to reach the builder community through 2 distinct channels, and we estimate that we touch over 35% of new residential construction in the U.S. This structure and end market diversity in addition to providing numerous opportunities for growth, also reduces the significance of our revenue cyclicality. As the Service Partners value proposition becomes even more attractive to contractors as the cycle trends down. Regarding the overall housing market, the fundamentals remain solid. The first 6 months of 2017 generated seasonally adjusted starts of just over $1.2 million. With household formations growing and the general economy improving, the demand for new construction is strong and exceeds the current inventory. This equals pent up demand for new construction which will eventually be satisfied with a higher level of starts for the next several years. Our primary top line benchmark, 90-day lagged housing starts, was up 9.4% for the first half of 2017. While our revenue increase of 8.3% was short of that, quarter-to-quarter fluctuations can be significant. Factors contributing to this volatility include unusual weather, single and multifamily sales mix and labor constraints extending the traditional building cycle. We exceeded the 90-day lagged benchmark for all of 2016 and expect to do so again in 2017. This is an excellent operating environment for TopBuild and you can be assured our team remains focused on the key initiatives I have outlined today, all of which translate into profitable growth. Before turning the call over to John, just a reminder that we will be hosting an Investor Day in New York on Tuesday, October 3. We plan on diving a little deeper into certain aspects of our business, providing some insight into how we see the future of TopBuild and as indicated on Slide 6, showcasing a broader group of our very talented management team. If you're interested in attending, please let Tabitha know at your earliest convenience. John, you're up.
John Peterson: Good morning, everyone. As Jerry noted, we had a solid second quarter and a very strong first half. Starting on Slide 7. In the second quarter, consolidated revenue increased 9.9% to $474.5 million, primarily driven by sales growth -- sales volume growth at both TruTeam and Service Partners, selling price growth at TruTeam and $20.8 million of revenue from companies acquired since August 2016. On a same branch basis, revenue increased 5.1% compared to second quarter 2016. For the sixth quarter in a row, our adjusted gross margin has expanded compared to the same period a year ago. In the second quarter, adjusted gross margin increased 200 basis points to 24.6%. Adjusted operating profit grew 53.8% to $42.2 million with a corresponding margin improvement of 250 basis points. Both gross margin and operating margin improvements were driven by volume leverage, higher selling prices, lower insurance expenses, lower material cost and improved labor and sales efficiency. Second quarter 2017 adjustments totaled $1.4 million, primarily related to a consolidation of back office operations and severance for rationalization actions. Adjusted EBITDA for the second quarter was $48.2 million, compared to $32.6 million for 2016 and our drop-down to adjusted EBITDA margin was a strong 36.5%. On a same branch basis, adjusted EBITDA was $45.6 million and our drop-down to adjusted EBITDA was 59.1%. Performance was particularly strong in the second quarter with regards to same branch incremental margins, due to approximately $1.9 million of unfavorable insurance adjustments recorded in the second quarter of 2016, which did not occur this year. We're also very pleased to report incremental margins of 12.5% related to the seven acquisitions we completed, a 680 basis points improvement from first quarter 2016. As I noted in last quarter's call, the lower incremental margin reported for that period was due to typical startup accounting items and early on integration issues which for the most part had minimal impact in the second quarter. We remain committed to strategic acquisitions as the number one priority for our capital allocation. For the first six months of 2017, adjusted EBITDA grew 42% to $82.1 million and our drop-down to adjusted EBITDA was 34.6%. The first half benefited from a favorable insurance comparison and lower material cost. As material costs had stabilized in the second half of 2016, and we received no unfavorable adjustments during this same period, we should see a more seasonal and normal EBITDA pull through on incremental sales in the second half of 2017. Looking at TruTeam's results on slide 8, second quarter sales increased 11.4%, benefiting from higher same branch volume, acquisitions and improved selling prices. Adjusted operating margin was 11%, a 310 basis point improvement from second quarter 2016. Although volume leverage was a key contributor in the quarter, results were also favorably impacted by contributions from acquisitions, higher selling prices, lower material costs, improved sales and labor productivity and lower insurance costs. Looking at Service Partners on slide 9, sales were up 6.6% in the quarter and 6.2% for the first six months driven by volume growth, with a partial offset from lower selling prices. We were pleased to see selling prices improve sequentially at Service Partners and the GAAP from prior year's second quarter is relatively flat. Both strong cost control and an improved alignment between selling prices and material cost were the major contributors to improved operating margin. Service Partners operating margin improved 150 basis points in the second quarter to 9.7%. TopBuild's second quarter SG&A increased $4.9 million or 6.9% to $75.8 million primarily as a result of cost associated with the acquisitions including amortization, higher legal fees, higher stock-based compensation, higher rationalization charges and higher performance bonuses. As a percentage of sales, SG&A was 16% compared to 16.4% a year ago. SG&A expense should remain relatively flat sequentially for the remainder of the year. Moving to slide 10. Adjusted income from continued operations for the second quarter was $25 million or $0.67 per diluted share compared to $16.2 million or $0.43 per diluted share. For the first 6 months of 2017, adjusted income from continuing operations was $42 million or $1.12 per diluted share compared to $28.1 million or $0.74 per diluted share. CapEx for the first 6 months of the year as noted on slide 11, was $8.6 million, 0.9% of sales, and working capital as a percent of sales for the trailing 12 months was 8.8%. Working capital as a percent of sales was 40 basis points higher than prior year due to the impact of acquisitions, tied to some initial differences in both collections' efficiencies and material payment terms, which we expect to bring in line with the core business over time. Operating cash flow was $25.7 million for the first 6 months and cash in the balance sheet was $94.2 million. As noted in today's press release, on July 5, per the terms of our accelerated share repurchase program, we made a $100 million payment to Bank of America Merrill Lynch, receiving approximately 1.5 million shares of TopBuild stock with a value of about $80 million. To fund this payment, we used $30 million in cash and borrowed $70 million under our revolver. The remaining $20 million is expected to settle no later than the end of March 2018. This will obviously impact our diluted share count in the third quarter which we expect will be reduced to approximately 35.7 million shares from 37.2 million this past quarter. We also purchased 461,358 shares of our stocks at an average price of $47.48 for a total cost of $21.9 million. Since announcing our $200 million share repurchase program in February 2017, we have committed to repurchase $135 million worth of our stock inclusive of the ASR. As Jerry noted, since the spinoff 2 years ago, we have significantly improved our operations, increased labor and sales productivity, optimized our footprint and streamlined many of our processes and procedures. Our expanding margins speak to the success of these initiatives. We've implemented a capital allocation strategy with M&A as a top priority, which has resulted in the acquisition of 7 companies, expected to contribute incremental annual revenue of $88 million. As we successfully integrate these firms into our organization, we are benefiting from the synergies inherent in each transaction, as evidenced by the improving pull-through margin. Our shareholders have benefited from a stock price that is almost doubled since the spin and a return of over $162 million of capital through 2 share repurchase programs. We are very pleased with our results to date and believe we will continue to grow and improve the bottom line. Robert will now discuss operations.
Robert Buck: Thanks, John, and good morning, everyone. Starting on slide 12. To reiterate both Jerry and John's outlook, 2017 has developed into another solid year for TopBuild. Overall, builder sentiment is optimistic and business remains steady, with an improving economy, household formation is going up and new home inventories low, we expect the positive trend to continue as the industry works its way back to the historical annual average of 1.5 million starts. Moving to the next slide. Within TopBuild, daily execution at the branch level continues to improve, our M&A model is yielding solid results and we have built a supply chain that leverages our scale and provides flexibility to meet our customers' ongoing requirements. Combined, these key elements have positioned our company for growth and are continuing to contribute to our strong bottom line performance. Since the spinoff 2 years ago, driving operational excellence and great execution throughout our organization has been and remains one of our most important areas of focus. To start, we locally empower our 240 plus business leaders to run their branches as distinct operations with full P&L responsibility. Business leaders build their teams to include local management, sales and direct labor. It is critical they have a comprehensive knowledge of their respective local markets, including building codes applicable to their region and an understanding of the types of products and services their customers need, which often varies by location. Every branch manager is expected to have strong relationships with their customers and be actively involved within the communities in which they operate. These local relationships help us successfully serve builders and contractors of all sizes and enable us to attract labor and talent at the local level. As TopBuild, we bring national resources to the table to complement these local relationships. This includes operating best practices, purchasing leverage and national customer relationships in the area of residential, commercial and retail. At the corporate level, operational efficiencies are achieved by leveraging our back-office operations at our branch support center in Daytona. This has resulted in improved internal communications, a more efficient workflow and streamlined support functions, all of which further enhance operations at our branches. Looking at Slide 14. You can see what our focus on operational excellence achieved over the past 2 years. Comparing second quarter 2015 to second quarter 2017, gross profit margin has improved 340 basis points, adjusted operating profit has more than doubled and the adjusted operating margin has improved 390 basis points to 8.9%. Adjusted EBITDA has also doubled and our incremental pull through has increased from 14% to 36.5%. These metrics are tangible proof that our initiatives are yielding solid results for our company and our shareholders. Turning to our individual business segments on Slide 15. Service Partners reported a solid quarter. We're very pleased to see volume up 6.8% and price improving as well. The business has done a nice job servicing and growing the spray foam business, which is up over 25% year-to-date. As fiberglass supply has tightened, material prices have increased and we are now back to the level of pricing of about a year ago before all the additional capacity flowed into the market. TruTeam continues to leverage its scale and footprint with sales growing 11.4% and adjusted operating margins improving 310 basis points. Our teams have done a great job of driving selling price and we believe this is the right environment to be doing so. The commercial business remains vibrant growing in the mid-double digits overall this quarter and over 20% at TruTeam alone. Labor remains tight within the industry and top of mind for the builders. Most trades are feeling the pressure of this labor shortage and as a result, the building lag is extending a bit this year, impacting second quarter volume and creating pent-up demand for the second half of 2017. On our end, we continue to work on enhancing labor productivity through best practices, proprietary technology tools and more efficient branch management process, all of which are driving better financial results. Next slide. TruTeam's growth is being bolstered by the 7 acquisitions we have completed since August 2016. This includes two acquisitions completed in the second quarter, Superior Insulation Products, a residential insulation company based in Seattle, Washington, and Canyon Insulation, a heavy commercial insulation and fire stopping company based in Southern California that performs work throughout the State. Our M&A process is yielding positive and accretive operating results for both the company and our shareholders. We continue to work with a very robust pipeline of acquisition candidates. Turning to our supply chain. We are confident of the quality and the reliability of the supply chain model we have built and our results speak to this success. We have solid relationships with all the major manufacturers and we are leveraging our size and our scale in a way that benefits both our supplier partners and TopBuild. Finally, turning to slide 17. I want to share with you a highlight from the second quarter that means a lot to our team and to me both on a professional and personal level. Our company is committed to making a positive impact on the communities where we live, operate and grow. In the spirit of giving back, we have partnered with Habitat for Humanity nationally, raising money and providing resources on their job sites. Our suppliers have been very supportive our partnership with Habitat and we thank them for all they do for TopBuild. We also encourage our employees to donate their time and services to this organization. In May, TopBuild was proud to present Habitat with a check for $400,000 to further their efforts in 2017 and beyond. As we look at the rest of the year, we expect solid full year performance at both TruTeam and Service Partners and we are very pleased with how we are executing and driving the results in the business. It should be clear; we are developing a proven track record for steady growth and strong bottom line results. I want to thank the entire TopBuild team for their vigilance on working safely to deliver value, quality and great service to our customers. I'll now turn this call back over to Jerry for some summary comments.
Jerry Volas: Thanks, Robert. We're very confident as we look to the balance of 2017 and beyond. The housing recovery is on track and providing an excellent external environment for TopBuild. Internally, we are driving hard with execution in all the controllable aspects of our business, resulting in outstanding financial results and a thoughtful capital allocation strategy for our shareholders. Operator, we are now ready for questions.
Operator: [Operator Instructions] And the first question comes from the line of Mike Wood with Nomura Instinet. Please proceed.
Mike Wood: Good job on the margin performance this quarter. First question, just wondering if you were able to get out ahead of the June price increase from the inflation manufacturer. Any color in terms of how the market receptivity is there to -- passing through that price? And how should we think about price in your margin? Should that be a pure pass through? And does that mathematically dampen your incremental margins or is there leverage from like labor productivity on the higher prices that would avoid that impact?
Robert Buck: Mike, it's Robert. I'll take the first part of that question around the price increase in June. As you know the manufactures announce usually 90 days in advance. The increases, we absolutely start working with the customers at the local level and that's a lot of individual conversations. So we do feel like the teams did a good job of getting ahead of that as things were steady during the summer months. Obviously we worked those conversations in the contracting business, labor tightened up in the summer months. So we feel like our teams did a really good job of getting ahead of that on the pricing and there has been some good traction on the pricing in June. Obviously there's been another manufacturer's increase announced for September 1, obviously too early to tell about that one, but obviously it's a busy time of year. We think it's the right averment around the pricing environment and I think you can see in the results the teams did a nice job there at a local level.
Jerry Volas: Mike, this Jerry here. The one thing I would add to that would be, as Robert, talked about in his prepared comments, we run the business, local empowerment is important. Each geography is a little bit different than the one next to it, as it relates to that price volume relationship and we try to play that as well as we can and as I said, each geography is a little bit different. So we do believe this is a good time for pricing to go higher, 3 announcements this year from the manufacturers. So and the business is fairly robust out there in some regions. All that equals an opportunity to move price and we will do that selectively where we think we can.
Michael Wood: As a general practice, do you pre-buy insulation? I noticed your inventories didn't go up, they actually went down sequentially.
Robert Buck: There is some, it's Robert again. Some pre-buy on the contracting side, on the distribution side, a little but the warehouses are typically fairly small. So I wouldn't say huge ramp-up in the buy of material, Mike.
Michael Wood: Great. Just finally, you mentioned in your remarks an elongated build time. Just curious, what you're seeing there in terms of where the bottlenecks are. In the future demand continues to grow, would you expect that sort of to worsen from labor shortages or is that able to rectify itself from just bringing more labor into the workforce?
Jerry Volas: Jerry here. I would say, I do think the building cycle is getting longer. I would say labor constraints is probably the single biggest thing that the builders struggle with. They have got other issues, but in terms of the cycle time I think bringing labor to the job site at the right time is by far the biggest. So I do believe that the cycle time is getting pushed out compared to traditionally what it's been. We have always said, 90-day lag starts kind of as a benchmark, I think on balance, it's probably getting a little bit longer than that.
Operator: Our next question comes from the line of Matt McCall with Seaport Global Securities.
Reuben Garner: This is actually Reuben Garner on for Matt. First question is the spray foam business you mentioned 25% growth I think year-to-date and the distribution, in the distribution arm. Can you talk about maybe the economics of spray foam versus that and some of your other products, whether it's dollars per job or margin per dollar? Can you just kind of update us on the difference and is that a, I guess a margin help in the distribution business as we move forward and it continues to outpace?
John Peterson: This is John, Reuben. In both businesses both segments, spray foam is typically 2x to 2.5x the typical what we call take per unit on a job. So certainly from a top line, we get more from a spray foam versus a traditional fiberglass and/or cellulose type of job. The margins tend to be pretty consistent on a percent basis. So obviously the drop down to the bottom line is significant when we see an increase and a ramp in that business from an operating margin dollar standpoint, so.
Reuben Garner: So there has been a lot of movement in parts I guess the last few quarters, the incremental margin has been pretty strong especially this year. Can you update us on maybe what the core incremental, whether it's EBITDA or gross margin outlook is, whether it's for the company overall or each segment just on our organic revenue growth? And then maybe what kind of self-help or continuous improvement you can have that can be additive to that as we move forward?
John Peterson: Reuben, this is John again. So I think you're right. Obviously, we performed well both in 2016 and the first half of '17 on the pull-through on the organic business. A couple of things contributing to that, which we called out. First of all selling prices on TruTeam have remained strong, really strong labor and sales productivity especially on the TruTeam side of the business. First half of the year, we have seen lower material cost and the other thing that's important that we called out in the prepared remarks was the fact that we saw lower insurance expenses versus a year ago, first half. So all that contributed along with the fact that we talked about the fact that we are going to leverage the footprint that we have pretty well as starts ramp and grow. On a go forward, we don't provide specific guidance, but I would point out a couple of things I think on a go forward basis. So we're going to continue to work those issues around pricing, labor and sales productivity and again leveraging the footprint. A couple of the benefits in the first half probably we lose some of it in the second half, part of it would be that insurance expense comparison I talked about. We don't have any favorable comps like that in the second half. And then the other is that our material cost is increasing. So we are going to see and I think the second half comp in material will be negative versus second half 2016. That said, we expect to have strong pull-throughs, but probably closer in line with the long-term guidance we give in the business which is at least 20%.
Reuben Garner: And that's EBITDA contributions?
John Peterson: Yes. That's EBITDA, correct.
Reuben Garner: And then one last quick one for me. Just a clarification I think it was you, John, that said SG&A was -- you were thinking flat sequentially as we move through the balance of the year. Just to clarify that's dollars, not percentage of sales?
John Peterson: Correct. That's dollars. Correct.
Reuben Garner: Alright, great. Thank you very much, appreciate.
John Peterson: You’re welcome.
Operator: Our next question comes from the line of Scott Rednor with Zelman & Associates. Please proceed.
Scott Redno: I wanted to quickly drill in on the Installation growth on a core basis about 4% same-store there? I think you guys called out 20% plus or minus growth on the commercial side, so I am doing the rough math, it would imply that there wasn't a whole lot of growth on the residential side. I was hoping you could maybe speak to that, if that math is similar to what occurred in the quarter?
John Peterson: Scott, this is John. I think the 20% includes our mergers and acquisition activity, so I think the 4 plus percent, you talked about was same branch, correct?
Scott Redno: Yes.
John Peterson: So when you get down to it, our same branch basically on the TruTeam side was roughly close to 5% plus on the R&C side of the business side in terms of the growth. Commercial was probably just around 6%, when you look at the same branch growth in terms of commercial growth.
Scott Rednor: Got it. That’s very helpful. And when you think about the fact that you guys had an easier compare year-over-year and you are highlighting some labor constraints, can you maybe talk about to what you are seeing on the R&C business on an organic bases in 3Q? Are you seeing some acceleration there from some of the tightness, it sounds like you experienced in 2Q?
Robert Buck: This is Scott. We would expect it to be strong the balance of the year. I mean it's very fluid, there is a lot of things going on out there, some weather issues on the West Coast earlier in the year. We talked a little bit about the building cycle being extended a bit. All that's happening, we talked about the price volume balance that's we're finding by geography. So you put all that together, there is a lot of factors moving around in the first part of the year. We look for ongoing strength of the balance of the year. We talked about the overall housing environment that we think is pretty strong still. So we expect strength the balance of the year.
Scott Rednor: Great. And then just lastly, on the distribution side, obviously a nice step up on the incremental margins there as well as the growth. If your view of pricing stabilizing or improving year-over-year continues for the balance of the year, should we think about that business as that's helping the incremental margins as you get better pricing?
John Peterson: Yes, so in the second quarter, what we talked about was strong sequential price growth, Scott. This is John, by the way. Second half, we are going to have to wait what happens here in terms of the price increases, the manufacturers' accounts and how we respond to that. Obviously, a tighter environment allows us -- we're going to absorb higher material cost, but at the same time, we would expect to be able to increase selling prices. Whether we will get margin expansion or not? Really depends on the overall conditions. We always try for that but we'll just have to see how that plays out in the second half.
Operator: Our next question comes from the line of Trey Grooms with Stephens Inc.
Trey Grooms: First question for me is you mentioned I guess it was in 1Q you talked about some weather impact on the West Coast. Can you talk about any types of pockets of geographic strength or weakness you guys are seeing on the 2Q and did weather have any impact on you guys in the second quarter at all?
Robert Buck: So let's talk about areas of strength first. Pacific Northwest is extremely strong right now, probably one of the top markets in the US Seattle, Portland, that area. North Florida is strong as well. Areas that we talked about before Nashville, some areas there as well, Northern Texas. So those are strong areas, continue to be strong. Denver is obviously another area that we pointed out previously. Relative to Q2, there is quite a bit of pent-up demand, what we called out, specifically West Coast, even get a little more room. We're pretty meticulous about the details relative to looking at the markets. They're really is California and a lot of pent-up demand in California coming out of the wet first four months of the year so we know there's pent-up demand, pent-up units coming in California, so that'd be the specific area that we'd call out that impacted Q2 and we are seeing that trend reverse as we are heading into the back half of the year. So definitely pent-up demand that's coming through there in California.
Trey Grooms: And then on the commercial business, I think you said same branch is up, was up 6% in the quarter. Is that, was that on the, just for clarity, was that on the distribution business or install or combined?
Robert Buck: Robert again. That's combined tray overall.
Trey Grooms: And do you feel like that's kind of where the market was in the quarter? Do you feel like you may have gained any share, anything on that side of the business through 2Q?
Robert Buck: I'd say based on what we see on kind of average commercial reports. We said we probably picked up some in Q2 there relative to overall commercial growth in the industry.
Operator: Our next question comes from the line of Ken Zener with KeyBanc. Q - Ken Zener John, you made comments and I understand you guys want to guarded, conservative, not get ahead of yourself around pricing. Obviously there was announcements of sequential pricing of up 100 basis points maybe a little more sequentially. If you could comment on that. And then more broadly, I realize you're not going to give explicit second half guidance. Normally when volumes are increasing, labor's tight, supply from the manufacturers is tightening. What variables could limit your operating leverage? I realize you don't want to give guidance, certainly you don't know what pricing is going to do, but what variables could keep it from happening, given that it's pretty normal for that scenario to reach a higher EBIT leverage.
John Peterson: Ken, so just to clarify. The first part of your question, repeat that again?
Ken Zener: You add up, peers in your group talked about insulation pricing up sequentially, roughly 100 plus basis points. Would you be willing to comment on that? That was the first question.
John Peterson: So, are you referring to the Service Partners, sequential performance?
Ken Zener: Yes. Just kind of what you are seeing there in the pricing to your customers [indiscernible].
John Peterson: I am not sure we saw 100 basis points, I am not sure where that came from. But we did see sequential price improvement, certainly. And that is directly tied to the fact that in the market, the cost of fiberglass material in particular is increasing sequentially. So as that occurs, we are able to push that through to the market because the rest of the industry obviously is seeing the same type of performance. In terms of what could mitigate that, from a leverage standpoint, the ability to drop all that price, it would be, if we had to make investments in certain things to deal with volume growth and growing the business. Those are things that would mitigate it to some degree. We haven't seen that at this point, again tied to the discussion around the fact that again that we think we're set up for a much larger footprint, much larger housing start volume. So as we have been able to gain price, we have been able to drop most of that through to the bottom line and that's what has helped our performance in terms of the margin expansion we have seen.
Operator: [Operator Instructions] And our next question comes from the line of Keith Hughes with SunTrust.
Keith Hughes: When you look into the third quarter, you discussed that your contribution margin would probably be less than what we saw here in the second, where the numbers here were just outstanding in the second. Would we see a greater contribution margin at TruTeam versus Service Partners as Service Partners passes through some higher prices?
John Peterson: Keith, this is John. I think typically, you should always count on a better contribution margin at TruTeam, just by the very nature of the business. Obviously, a couple things, one is what, we're pricing labor and material as part of it. And as we've said many times a higher fixed cost footprint on the TruTeam side of the business, which means we are going to typically pass down more. So I think on a go forward, that's a very good way to think of it.
Keith Hughes: And from an inventory standpoint, what kind of inventory does Service Partners hold in fiberglass insulation versus TruTeam? In terms of number of days or weeks, or however you want to do it.
John Peterson: Typically, Keith, I think the answer to that is you might look at something like 17, 18 days on the TruTeam side. You're probably looking at a little over 1 month plus on the distribution side of the business.
Keith Hughes: Final question, you briefly discussed weather, just summarizing did weather -- it seems like it wasn't really a help nor a hindrance on total, is that a fair statement?
Robert Buck: Keith, it's Robert. So yes, definitely held some demand back, especially probably in April if you will and again we see some of that pent-up demand being released now.
Keith Hughes: Would that be southeastern region where it would impact the most?
Robert Buck: No, we've had a little bit of, if I take Florida and rain to happen. So a little bit there, but I say still more of that coming out the first 3 or 4 months in California.
Keith Hughes: Okay, thank you.
John Peterson: You’re welcome.
Operator: And we have no further questions at this time. I turn the call back to you to continue with your presentation or closing remarks.
Jerry Volas: Thanks to everybody, for listening today and supporting TopBuild. We look forward to reporting our third quarter results in early November.
Operator: Ladies and gentlemen, this does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.